Presentation:
Operator: Good day, ladies and gentlemen and welcome to the TomTom Second Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. We will be facilitating a question-and-answer session towards the end of today's prepared remarks. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to your host for today’s conference, Bisera Grubesic, Head of Treasury and Investor Relations. You may begin.
Bisera Grubesic: Thank you, Alisa. Good afternoon and welcome to our conference call during which we will discuss our operational highlights and financial results for the second quarter of 2016. With me today are Harold Goddijn, our CEO and Taco Titulaer, our CFO. You can also listen to the call on our website and a recording of the call will be available shortly afterwards. And as usually, I would like to point out that Safe Harbor applies. We will start today’s call with Harold, who will discuss the key operational developments, followed by a more detailed look at the financial results and the financial outlook for 2016 from Taco. We will then take your questions. And with that, Harold, I would like to hand over to you.
Harold Goddijn: Well, thank you, Bisera and welcome ladies and gentlemen. Thank you for joining us on today's earnings call. Although we reported today a solid set of results and second quarter gross profit grew by 8% on flat revenue of €265 million. Gross margin continued to strengthen as we are growing recurrent content and services business. Taco will provide further information on the financial highlights and the financial outlook for 2016 later in his presentation and I will now discuss the key operational highlights for the quarter. In consumer, we saw continued growth of our sports activity. Sports watch activations nearly doubled year-over-year. Also automotive hardware had a good quarter from stronger sales of our legacy platform. This platform however, will go end-of-life at the end of next quarter. However, growth was offset by lower PND revenue compared to last year caused by the decline of the market. Our market share improved in both Europe as well as North America. Within the PND market we saw unit decline of 18% in Europe whilst the North American market declined by 22% year-on-year. Our market share in both regions improved slightly year-on-year. Our map-making platform is essential for creating a stronger market position as well as for pursuing new opportunities in the automotive licensing markets. Our platform together with our traffic navigation software will enable TomTom to pursue further growth opportunities with existing and new customers for connective navigation for advanced driver assistance systems and for autonomous driving. We are committed to play a leading role in autonomous driving and our product roadmap reflects our strategy to map the global road network with precise road geometry data. In this quarter we have launched HD Maps and RoadDNA coverage in 17 states across the United States. Our automotive order intake is on track and we are especially pleased that Volvo Cars selected TomTom as a supplier for maps for traffic and for software in its new infotainment system. Our Telematics business continued to perform well. The installed base reached 652,000 subscribers by end of the quarter and that represents a 29% growth compared with the same quarter last year. This was achieved through a combination of organic growth and the acquisition of Finder in Poland. The underlying industry dynamics for our fleet management business continued to remain favorable. We also see new opportunities arising in the connected car services industry. In the quarter we announced a collaboration with BSA Group whereby our web management service products will be available for connected Peugeot, Citroën, and DS fleet vehicles. And this concludes my part of the presentation. I am handing over to Taco now.
Taco Titulaer: Thank you, Harold. I shall now begin a more detailed look at our financial results. We generated revenue of €265 million in the second quarter flat compared to the same quarter last year. Consumer and licensing were down, telematics and automotive were up. And let me now briefly discuss the business units one by one. So in Consumer, the PND and related business declined with similar pace as in Q1. The market size was down with 19% combined market share strengthened in most regions. The sports category as already said by Harold continued to grow with double-digit percentage numbers and the product activation rate even doubled compared to last year. Finally automotive hardware was strong on the back of high volumes and a number of legacy platforms that we will go end-of-life starting this quarter. Automotive delivered a strong performance with revenue growth of over 30% to €35 million. This increase is driven by higher volumes on existing contracts and ramping up of new contracts like the one explained by Harold at PSA view [ph]. Licensing revenue were €33 million this second quarter, 14% lower compared with the same quarter last year. The year-on-year decrease results from a catch-up we recorded in the second quarter of 2015 when compared delivered in the first quarter of 2015. Excluding this catch-up of our licensing revenue would have been flat. Then Telematics revenue was up 14% year-on-year to €14 million. The recurring subscription revenue for the quarter increased by 21% year-on-year to €29 million. Monthly subscription ARPU decreased year-on-year owing to the impact of the acquisition in Poland. For the whole group I am especially pleased with the gross margin in the quarter of 55% which is 4 percentage points higher compared with the 51% in Q2 2015. The year-on-year increase is driven by the higher proportion of Content & Services in the total revenue of the quarter. Total operating expenses for the quarter were €133 million compared with €134 million in the same quarter of last year. There were some one off effects like the positive outcome of a pending customs case and lower costs of our share based people incentive plan. Excluding one off effects our operating expenses are trending up versus prior year resulting from the investment needed to support our automotive order book. We expect the run rate for OpEx in the full year 2016 to be up with approximately 8% to 9% versus 2015. We delivered a net result of €12 million this quarter which translates in an adjusted earnings per share of €0.10 on a fully diluted basis. At the end of the quarter we reported a net cash position of €58 million. Our cash flow used in operating activities for the quarter were €33 million, €5 million higher compared with last year. The cash flow used in investing activities excluding the effects of acquisitions increased by €3 million to €30 million mainly reflecting increased investments in customer specific automotive investments and our map-making platform. Let me now move on to our outlook for 2016 on Slide 4. We are reiterating our guidance for the full year. We expect revenue of around €1,050 million. Adjusted earnings per share is expected to grow by around 10% to €0.23. We expect the levels of investments both CapEx and OpEx in our core treatment will cease to be higher than last year. And particularly investing in advanced content and software for the automotive industry and in our new map-making platform. That concludes the formal patient of the presentation. Operator we would now like to start with the Q&A session.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question from Francois-Xavier Bouvignies of UBS. Please go ahead.
Francois-Xavier Bouvignies: Thank you for taking my questions, I have a couple if I may. The first one I wanted to talk about maybe you can talk about the Google's partnership with Fiat Chrysler, I mean is it changing anything for you guys and that Google and Apple are pushing more and more into this market, do you see any disruptions for you? This is the first one. The second one is on the automotive products portfolio, as we see more autonomous car penetration in the future do you think there is an opportunity to change the way you monetize your maps? And I will have a followup question if I may after.
Harold Goddijn: Thank you. Yes, so it is not entirely clear I think what the partnership between Google and Fiat Chrysler entails. Both Fiat and Chrysler are important customers of ours. We don’t see any changes in their attitude. And our opportunities doing business in the current car alliance what will happen in the autonomous driving space we assume that this is cooperation for autonomous driving, but we don’t have complete visibility of what it entails. We need to wait and see how that will develop. On the second quarter, maps I think for autonomous driving I think this is an important developments and more clarity is come through in the last couple of months. We have spoken of course on the basis with the role of executives with the car makers. There was some doubt whether maps and high definition maps will be needed for autonomous driving. We think that doubt has now gone away and I think universally industry leaders that we are talking to believe that highly accurate maps will be part of the center set that will drive autonomous cars over the road. So there is more clarity that high definition maps will be needed. There is also more experience now. People who or companies tried to build those high definition maps for cars whose data that is not that easy. We believe and the industry believes that those high definition maps need to be made as we are making them using traditional methods in combination with parts sourcing technologies. So I think we are trending favorably there, but at the same time we also need to observe that the autonomous driving car is quite some time out and it will be a gradual development. And of course we will be looking for revenue opportunities in the meantime to capitalize on those high definition maps and I think there are some opportunity both in guidance as well as in ADAS type of technology where we can start monetizing the additional detail that we are providing in those maps.
Francois-Xavier Bouvignies: Okay thank you and there is one question on the OpEx in the coming quarters and even year if it is possible, I mean do you see any changes in the third quarter or do you have more visibility of how you think you are going to invest in terms of OpEx and CapEx and maybe that you will see more leverage in the coming quarters or years as automotive revenues are coming through?
Harold Goddijn: Yes, so we said in the call already is that we envisage that our operational expenses with go up 8% or 9% on a full year basis based on the reports number 5 while 8 in 2015 that as OpEx increased with 4% in H1 that means that the increase will be foreseen second half is above 10%. That is and that will be in all lines, but especially in the R&D line. After that we will update the market when we give guidance on 2017 so that that's not the right time now, but what we said already before is that that's the nature of order intake in automotive that you have to do things either the spoke engineering for the clients, integration work, additional demands and features or coverage that might not have been fully covered by current roadmap.
Francois-Xavier Bouvignies: Thank you very much.
Operator: We will now take our next question from Marc Hesselink from ABN AMRO. Please go ahead, your line is open.
Marc Hesselink: Yes, thanks. The first question is on the good of that in automotive in this quarter, it was mentioned that this was partly due to higher volumes in existing contract. Does it imply that the take rates are moving up and that they are higher than your initial expectations on what the people put into the order book? And the second thing is, the order intake in automotive I think in the last quarter you said that has been trending for the year pretty well, did you see the trend also continuing in the second quarter especially with the former contract listed the trend similar to last year or even a bit higher growth than that? And finally, also on autonomous driving, you also forgot to mention something like the progress that people need to map, can you elaborate a bit more on why exactly you need the high definition map for autonomous driving? And maybe related to that in the – I have read some articles also on the Tesla accident, if there would be a light or high definition map this kind of accident could have been prevented. Can you share your feel on that one?
Harold Goddijn: Yes, so I think the – your first question is about sales to existing customers. So we're seeing slightly higher income from licensing income from existing customers typically because their sales numbers were slightly better than we had anticipated and we see that coming through in our licensing income. I cannot say that the attachments rates have gone up. I cannot say at this moment that generally speaking sales by our customers were slightly higher than we had anticipated beginning of the year. On the order intake, yes I think it's – things in the first half were okay. I mean, there was a big contract available, one of the biggest contracts available in the first half was - we won that so that was nice. So I – we are on track and at the end of Q3 we’ll give you an update how the order intake is developing compared to last year. Autonomous driving, so why do you need maps, why - well the reason why you need those maps is they did not buy it self sufficient to guide a car, which you do need exactly where the car is on the road. For the positioning you need that map, you need a high precision location and methodology that we are providing. So we’re doing both the map and we’re doing RoadDNA as a means to position that car correctly with a high level of accuracy on the street. And it seems to us that there is now increasingly consensus that that is indeed needed. So that was a positive for us this quarter. Yes this was for me of course to comment on what happened at Tesla. We have got our own theories, but we don't have intimate knowledge of exactly what happened and what specifications of the Lidar and RADAR and camera were and where this could have been prevented. So I don't feel it is right for me to comment on that specific case.
Marc Hesselink: Okay, that's clear. May be a followup on the Volvo contracts because it is pretty far out that's going to work to 2019. What does that mean for your assumptions on such a contract, do you have significantly higher attachment rates or how do you build that up?
Harold Goddijn: Well, the assumptions are based on the quote we've given and the quote obviously involves volumes, expected volumes what Volvo expects to sell in the different markets and based on those numbers we come to a total estimate of the value of that contract. So we have a pretty precise distribution. And of course for covering that forward is also an element of uncertainty whether those numbers will be hit or whether they will be exceeded, but generally speaking, we find a car maker is a pretty good way of estimating sales volumes. So that's a way you typically tend to do this.
Marc Hesselink: Okay, thank you.
Operator: Our next question today comes from Andrew Humphrey from Morgan Stanley. Please go ahead. Your line is open.
Andrew Humphrey: Hi guys, thanks for taking my questions, just a couple if I may. One is, you're looking broadly at high definition maps, clearly the developments that we're seeing in the industry are kind of manifold and you're indicating the autos manufacturers are increasingly coming around to the view that those are an essential part of future driving applications. I wonder if kind of maybe I can ask the question from the supply side, you've said that you're looking to develop those maps gradually, I think you're at the point today where you have about 160,000 kilometers maps on high definition, which is clearly at this point less than about 0.5% of your kind of total mapping database. What kind of timeframe should we expect those maps to be kind of ready for those future driving applications and sort of that feeds into my second question really which is on OpEx, again I mean, you've clearly highlighted the investments that you are making there in R&D this year. Can you give us any clarity on how that will track into 2017 and whether we should expect continued increases in investments in those technologies over the next two to three years?
Harold Goddijn: Yes, so first on map production. So we are following certain – two different schools of thinking in – in autonomous driving, one is generally supported by the car makers who want to bring the tones driving or automated driving functions first in motorways and then go to country roads and to eventually go into cities and there’s no school for which things more about in closed areas. So you have a small area they completely map and they start driving autonomously then from there to expand. That's more the way that Google is attacking the problem. And when you say closed areas you need to think about industrial estates or shopping centers or logistical distribution centers or what have you, in any case where you control the environment much better. We are following the requirements of our key customers, which are the car makers. We are building high definition maps for connecting roads, motorways. We did in North America and Europe. We think we will be ready by the end of this year beginning of next year to have the major road network covered. And that's great because it gives everybody something to test against, to work against, takes specification to consideration and for us also to great to gain experience, not only in the specifications over flow, but also how we can produce them cost effectively. And producing those type of maps cost effectively is an area of continuous investment. There are new technologies available that weren't available only two or three years ago, it has to do with image recognition, deep learning, newer networks, that gives us very significant cost advantages building and creating those maps. So we are not supporting the too high flow process and you're right as soon as you enter, bring in other road class these number of miles you need to cover grows significantly. But in the meantime, we're also learning how we can produce and make and maintain those maps much more cost effective than we've ever been able to do using very advanced image recognition and deep learning and newer network. So it's a bit of a – it’s a bit a trade, and we've got some time to figure it all out. We've got some time to figure out how we bring in crowd sourced daytime to the whole equation. But it's clear to us and to the whole industry that we need to be really cost effective and rely on high level of automation to be able to do this in a cost effective way. And that's where our efforts are geared towards. In the meantime, we are obviously giving the task at hand, we're also looking at ways to commercialize, for that we have available now. And there are various ways of doing that and indeed we have sold or licensed to at least one customer some data sets that were produced for high automated driving. So that’s very encouraging.
Andrew Humphrey: So, can I kind of infer from that as far as OpEx is concerned that and I don't want to put words in your mouth, so correct me if I’m wrong, but it seems like there’s been a lot of investment going into the platform in the last couple of years for real time updates of fattening databases in secure. Even though kind of coverage on high definition maps needs to increase exponentially is it then fair to assume that we shouldn’t expect similar exponential increases in OpEx?
Harold Goddijn: Well, it is again Taco will lose that. We want to give you more guidance and more information about the OpEx levels that we need to sustain, when we give guidance for 2017. This is not the moment and we're learning all the times well what is needed, but I think we’ll come with further information later on.
Andrew Humphrey: Okay, thanks very much.
Operator: We'll now take our next question from Marc Zwartsenburg of ING. Please go ahead. Your line is open.
Marc Zwartsenburg: Yes, thanks for taking my questions. A couple of financial ones perhaps with expected tax rate for the full year is my first question. Then on the hardware sales and Telematics, can you give us a bit of flavor, the combination of the hardware and subscription revenue, how we should look at and read your hardware declining, subscription growing and how we should read that to the future that on Telematics. Then another question on deferred revenue you mentioned I mean in the press release, what has been the impact on this quarter’s gross margin, the negative impact from still deferring the revenues in the quarter, and what would have been the impact on EPS if the deferred revenue were still included? And then on accounts receivables is going up quite a bit in the quarter, can you give us any color on that what is driving that? And then on the Volvo contract, can you give us a bit more detail on take rate assumptions of course you mentioned out of mainly both of volumes, but if you can give us any feel for the in-car penetration within the contract what we should assume there? And that's it. Thank you.
Taco Titulaer: Yes, so I heard all your questions, Marc but the effective tax rate, yes that is difficult one as you also saw in the year and this Q2 that we received some money back from filings we did over the previous years. What we tend to do is that when we do our corporate tax filing, we take a very cautious approach, because if you at the end have to pay more, then you also have to pay interest on that outstanding amount for the time that it takes to have your filing completed. So, and then you – so we received some money back and that had a positive influence on our tax line. And if the EBIT is at the level there it is now then this can have enormous swing factors, but there are some assets you need to work with roughly 10% for the effective tax rate.
Marc Zwartsenburg: But we assume that for the full year given that you had quite some money coming in and then somewhere in this third or the fourth quarter it goes slow.
Taco Titulaer: I would have to do for the second half of this.
Marc Zwartsenburg: Okay. So that's what you’re also assuming your guidance of the €0.23.
Taco Titulaer: Yes, yes.
Marc Zwartsenburg: Okay.
Taco Titulaer: Then deferred, so we have deferred revenue in all the businesses that we operate in, but not so much in Telematics by the way, but it is the big jump is in consumer, then in licensing and then in automotive. Consumer, we expect that we will see still a net addition to the deferred revenue for this year, but as of next year we will see a net release for automotive this has been growing this year and that will continue to grow in the years after that. And in licensing it is quite stable, but there you have very much seasonal patterns where we have some big customers paying the full year in advance at a certain point in the year. So that brings me to the question you were asking the – we had a benefit of the release in deferred revenue in this quarter of roughly $0.03 similar to what it was in Q1 one as well by the way.
Marc Zwartsenburg: So benefit for your EPS you mean, but on the margin, on the gross margin?
Taco Titulaer: No that is – so I’m looking at these numbers here.
Bisera Grubesic: Yes, we'll come back with that information.
Taco Titulaer: Yes, that's a bit good – I don't have – I have that info with me.
Marc Zwartsenburg: Okay. But it was a slow benefiting in the second quarter from a release of on net release of some deferred revenues.
Taco Titulaer: So, we continuously have release of deferred revenue and we continuously have additions to and this the net effect that will influence the earnings per share. So the – as we had a net release in the year-over-year that in the second quarter that effected our earnings per share with $0.02.
Marc Zwartsenburg: Okay, thanks.
Taco Titulaer: Accounts receivable, I wouldn't read too much into that. That is just timing where contracts are signed within the quarter as an effect if it happens in June or in May that is the, so we that just means that we have some more deals going out in June compared to last year.
Marc Zwartsenburg: So it is good.
Taco Titulaer: Yes, that’s good, but that also, they could also mean that they made was different right. So it has no effect on that.
Marc Zwartsenburg: Okay.
Taco Titulaer: So, for the [indiscernible] I wouldn’t read too much into it. And then the Volvo contract, I think what makes a Volvo contract is the volume of cars, times take rate, times the ARPU and so the price that you can get per car and the price that you can get per car is then again we're combination of software, services, and content. The content is highly influenced by the region where you sell your map, because in some regions the map is more expensive than in other regions. The take rate assumptions that are in the contract is not for us to disclose.
Marc Zwartsenburg: But any…
Taco Titulaer: It’s client combination information.
Marc Zwartsenburg: Okay, and then on the Telematics and the hardware versus license revenue?
Taco Titulaer: Yes, so what you need to bear in mind that last year we saw a very strong Q2. So Telematics revenue went up with 13% sequentially and then declined with 9% in Q3. And a big effect last year was the high volume of hardware. So at Telematics, we sell directly to the very big customers and to the very small customers. But the customers in between we work with value added distributors. And they can at certain moment buy more hardware for us because they want to have more in inventory or not. And when that sells, sell through that is we can only see that later.
Marc Zwartsenburg: So when indication for the next quarter that the subscription [ph] revenues might be a bit weaker?
Taco Titulaer: No, that is very hard to draw that conclusion from what you saw here, what I can give you as an indication, is that last year we saw a sequential decline and we are not aiming for sequential decline this year. So Telematics, as whole went up with 17% in H1. The guidance for the full year is that it will go up with roughly 20%. So it implicitly says that we see and we expect some stronger revenues in H2, so stronger annual growth rates in H2.
Marc Zwartsenburg: Okay. Thank you so much.
Operator: Our next question today will come from Shyam Kumar from TT International. Please go ahead. Your line is open.
Shyam Kumar: Hi, I’m – can I just ask on couple of new contracts? Can I ask on the PSA contract, just because I guess the first time you guys are actually going in. Can you just give us a sense of how impactful this could be on revenues and margins as a trend in terms of not just this contract, but potentially other contracts that could come in the next sort of 12 to 18 months please and just sort of flesh that out please?
Harold Goddijn: Sure, sorry, are you referring to the work fleet…
Shyam Kumar: Yes, exactly that.
Harold Goddijn: Yes, yes, yes. Yes it’s new, it is kind of innovative. There is a – so the way it works is that there is already a TCU, so telecoms unit built into the car. All the cars at least factory effectively and PSA is looking to generate revenues on the productivity [ph] on that capability, and we put a standard connection on top of that. So every driver-owner of a PSA car who wants to have that fleet as a service can easily connect without having to install additional hardware and that’s the relevance. For us it's an important way to market our services. We don't know exactly how big this is going to be, but is a trend and its technology that is only open for the Telematics players who have good international coverage, a good international distribution, and a good international presence. So it will help to – if this trend continues, it will lower the cost for customers to take those services, and we believe it will help some level of concentration in the industry, because the smaller player is scalable for those services on top of the open interface. So I think it's important, it is interesting what it will do in the short term is probably not that much, in the longer term I think it will be an important marketing and distribution tool for us. And there is indeed interest from other carmakers who do similar services.
Shyam Kumar: Okay, very good. And also in terms of you recently announced the Moscow contract to help design the traffic lights. Can you just give us a little information about that sort of – that sort of smart city contract, how impact on the contract can be, what exactly is your value added for the City of Moscow and scope for further contracts along those lines please?
Harold Goddijn: Yes, so the development [ph] that we can bring is a huge amount of data and technologies to query that data. So we know where traffic is, we know where congestion is taking place, we can indicate hotspots, we can help tuning traffic lights, we can do this on a static way, we can do it dynamically. So we have a lot of insight in traffic patterns in this city, and we've built it inside over a number of years. So we have also low historical data. That's a very unique database and a very unique set of capabilities. So we're marketing those services to help those cities understand those traffic flows. We were working, we’re doing that independently, but we're also doing that in connection and together with engineering companies who specialized in advising cities to manage their traffic flows. I wouldn't say it’s a huge business for us, but it's very interesting, it's for a good cause. We have a unique database and scalable model. So we are trying this in other cities as well. We have some success, we had some success in Berlin and Turek. There's a couple from North American cities who are interested in similar services. So we continue to work through to commercials and try to see how we can productize those services so we can scale them up.
Shyam Kumar: And are these kind of ongoing contracts or is it kind of short one year you get Moscow where it needs to get to and how does that work?
Harold Goddijn: No, those are typically contracts that are for four, five years. So you want to continuously monitor what's going on and want to continuously measure the effects of traffic rules you put in place and traffic lights and whatever there is to influence traffic flows in city in and around the city.
Shyam Kumar: Okay, perfect. And one last one, just back on automotive and the order book, at what point do you think you start getting contracts flowing into your order book based on demand for ADAS type services from the automotive please?
Harold Goddijn: I think ADAS is around a quarter and we are doing those contracts already. In fact that we have our HD maps is helping us, the fact that we are collecting all the attributes now based on in recognition and deep learning is helping us to maintain those databases and build those databases much more cost effective way. So I think there is - we've started. It is a trend. I think it is a good step up towards self driving, autonomous driving at various levels. So I think there is a - it is another progress in the automotive portfolio that is maturing rapidly now.
Shyam Kumar: Okay, thank you very much.
Bisera Grubesic: Thank you, Shyam. I would like to thank you all for joining us this afternoon. If you have any follow up questions, please don’t hesitate to give me a call and well, thank you all very much and operator you can close the call now please.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.